Operator: Good morning, ladies and gentlemen and welcome to the Biota Pharmaceuticals’ First Quarter Fiscal Year 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the formal remarks, we will open the call up for your questions. I would now like to turn the call over to Sarah McCabe of Stern Investor Relations. Please proceed.
Sarah McCabe - Stern Investor Relations: Thank you, operator. My name is Sarah McCabe of Stern Investor Relations. I would like to welcome you to the Biota conference call and webcast to review the company’s first quarter fiscal year 2015 financial results and to provide an update on a number of recent corporate developments. This morning we issued a press release which outlines the topics that we plan to discuss today. The release is available at www.biotapharma.com. With me today from Biota are President and CEO, Dr. Joseph Patti and Executive Chairman, Russ Plumb. Before we begin the call, I would like to remind you that today’s discussion will contain forward-looking statements that involve risks and uncertainties. These risks and uncertainties are outlined in today’s press release and in the company’s recent filings with the Securities and Exchange Commission, which we urge you to read. Our actual results may differ materially from what is discussed on today’s call. With that, I will now turn the call over to Biota’s CEO, Dr. Joseph Patti.
Joseph Patti - President and Chief Executive Officer: Thanks, Sarah and thank you for joining us this morning. Today, on our call I will begin with a brief overview of the corporate changes we have recently announced at Biota, then I will provide an update on the latest activities related to the planned initiation of a Phase 2b trial with vapendavir in patients with moderate-to-severe asthma and provide a status update on the data analysis from the LANI Phase 2 IGLOO trial. Russ will then review the financials from the quarter and give us an update on our negotiations with BARDA, which we are pleased to announce today that we have been able to resolve a critical item and reach a settlement related to the cost to complete the Phase 2 IGLOO trial subsequent to the termination of our contract. Let me start with the recent management changes. On September 26, we announced that I would become President and CEO of the company and that Russ Plumb would be appointed Executive Chairman of the Board. These changes became effective October 1. In addition to the executive operating changes, Dr. Jim Fox transitioned from Chairman to Lead Director at Biota. I believe 2015 is going to be a very exciting year for Biota as we advanced vapendavir into a Phase 2b trial next quarter, progress our RSV F protein inhibitor into the clinic and continue our efforts to broaden our antiviral pipeline. Today, we have a strong balance sheet with two royalty generating products a team that is clinically-focused and data-driven, which I believe can deliver multiple opportunities to create shareholder value over the next several quarters. Now, let’s turn our attention to our first clinical candidate, vapendavir, a potent broad-spectrum capsid inhibitor of enteroviruses in development for the treatment of human rhinovirus infected patients with underlying respiratory illnesses. In the 7 major markets, which consist of Japan, EU, and the U.S., there are an estimated 64 million individuals of all ages that have asthma. Further, approximately 24 million of these individuals can be classified as having moderate-to-severe asthma. There is growing evidence that suggest upper respiratory infections or significant risk factor associated with asthma exacerbations. In most cases, human rhinovirus or HRV is the dominant viral pathogen detected in both children and adult asthmatics experiencing an exacerbation. Additionally, asthma patients are more likely to have an HRV lower respiratory infection with symptoms being more severe and lasting longer. It is against this backdrop of significant lung disease and unmet clinical need they were excited about the potential of vapendavir. Activities required for the planned initiation to Phase 2b trial next quarter are well underway. Drug substance manufacturing is complete over 60 clinical sites have been selected in U.S. and Europe and the formal approval of regulatory submissions is tracking well. The Phase 2b trial is expected to enroll approximately 375 patients. The primary endpoint for this trial will be the least square mean change from baseline to study Day 14 in the ACQ6 total score. The ACQ6, or asthma control questionnaire, is a validated tool designed to assess asthma control and utilizes both patient recorded outcomes and forced expiratory volume in one second. Planned secondary endpoints included the measurement of asthma exacerbations, changes in lung function, urology outcomes as well as effects on symptoms of HRV infection. The primary efficacy analysis population will be the ITTI-infected population defined as all subjects with confirmed HRV infection to receive study treatment. In addition to this trial and asthmatics, we are also considering a Phase 2a HRV challenge study in patients with chronic obstructive pulmonary disease or COPD. Now, let me turn to our second clinical candidate, laninamivir octanoate or LANI, which is being developed as a one-time treatment for influenza A and B infections. As I commented during our last earnings call, we believe that the totality of data analyzed to-date suggests that a single dose of LANI demonstrate a robust antiviral activity and that in our opinion, LANI exhibited activity similar to that observed in other clinical trials for other neuraminidase inhibitors. We are making progress towards completing the clinical study reports for the LANI Phase 1 asthma study, the TQT study, the Phase 1/2 pediatric study, and the Phase 2 IGLOO study. We currently estimate that these reports should be complete next quarter at which time we will request a meeting with the FDA. And the goal of the FDA meeting would be to attain clarity on the appropriate path to approval, including defining the primary endpoint for future registration trials. We believe that the feedback on the agency will be critical as we engage potential partners interested in the Phase 3 development and commercialization of LANI outside of Japan. Finally, while we continue to pursue various strategies to broaden our antiviral pipeline, we are advancing BTA-C585, our RSV fusion inhibitor through IND enabling studies and anticipate the initiation of Phase 1 clinical trials in mid 2015. This follows our presentation of promising preclinical data, ICAAC in September. The data presented at ICAAC included results from number of in vivo studies designed to assess the antiviral activity of 585 prior to and during experimental RSV infection in a cotton wrapped model, which demonstrated a dose-dependent decrease in virus titers in lung tissue. Similarly, a highly significant dose-dependent decrease in RSV mRNA lung tissue was also observed in this model. Further, preliminary non-clinical oral, single and multiple dose data from several animal toxicology studies indicated that 585, was highly bio-available and well-tolerated. I will now turn the call over to Russ for a review of this quarter’s financials.
Russ Plumb - Executive Chairman: Thanks, Joe. Before we review our financial results for the quarter, let me first say that we are pleased to announce this morning that we reached a partial settlement agreement with BARDA on the reimbursement of all post-termination date costs associated with completing the Phase 2 IGLOO trial. I will go into the details of this settlement and the anticipated impact on our financial results next quarter as well as the status of ongoing discussions with BARDA in a few minutes. But I want to point out that this settlement agreement did not impact our accounting or financial results for the three months ended September 30, 2014 and we anticipate the financial and accounting impact of this agreement will be reflected in the quarter ended December 31, 2014. I also want to reiterate that it will be a little difficult to compare the financial results for this and the next quarter with the similar quarters last year due to the nature of how we are accounting for contract revenue under our contract with BARDA that was terminated in May 2014. As we highlighted in our press release this morning during the quarter ended September 30, 2014, we did not recognize or record another $1.3 million in contract revenue for activities and costs that we believe were entitled to be reimbursed for under our contract with BARDA and pursuant to applicable government regulations, but for which we believe we potentially may not be fully reimbursed for as of September 30, 2014. This brought the cumulative amount of such revenue that we had not recognized from the termination date of the contract through September 30, 2014 to $4.9 million. We have however recorded all the costs related to the activities associated with this unrecognized revenue as of September 30. I want to bring this to your attention. As you look at our financial results for the quarter, please note that if we would recognize such revenue under more normative conditions, our revenue from services would have been $1.3 million higher during the quarter at September 30, 2014. That being said, today we reported a net loss of $6.9 million for the three-month period ended September 30, 2014 as compared to a net loss of $3.9 million in the same period last year. The $3 million increase in net loss as compared to the same quarter last year was primarily the result of a $2.5 million reduction in the net earnings we recognized on the BARDA contract, which in our statement of operations is easily calculated as revenue from services less cost of revenue, as well as a $1.9 million increase in research and development expense offset in part by $1.6 million change or swing from a foreign exchange loss last year to a gain this year. The $2.5 million swing from a profit of $1.5 million on our BARDA contract activities last year to a loss of $1 million in 2014 is largely the result of significantly less activities being conducted under the contract due to its cancellation in May of this year and us not recognizing the $1.3 million in revenue I just alluded to. The one other item I’d like to highlight our statement of operations today for our first fiscal quarter was that our research and development expense increased to $4.9 million from $3 million in the same period last year. The $1.9 million increase was a result of a $2.9 million increase in direct preclinical/clinical and manufacturing costs associated with our vapendavir and RSV programs and a $100,000 increase in salaries, benefits and share-based compensation related to lower allocation of internal labor costs of the BARDA contract. These increases were offset in part by a $1.1 million decrease in research preclinical costs and other expenses related to other various preclinical programs that have been discontinued over the past year. As of September 30, we held $77.6 million in cash, cash equivalents, short-term investments and long-term investments, which is about $14.1 million less than we held at June 30, 2014. This decrease was largely the result of our loss from operations in the quarter of about $7 million, coupled with a $6 million increase in net working capital balances, which was largely related to the timing differences in payments of costs incurred and receipts of reimbursements under the BARDA contract. As I mentioned on our last earnings call, we have separated out the accounts receivable and accounts payable balances associated with the BARDA contract on our balance sheet. So, it is easier for you to assess the potential impact that the close-out of the BARDA contract may have in our future financial condition. As reflected on our balance sheet, as of September 30, 2014, we recorded an accounts receivable balance of $16.3 million due from BARDA and we owed $13.3 million in payables and accrued expenses associated with related activities. Again, this accounts receivable balance does not include $4.9 million of cumulative revenue that we have not recognized as of September 30, 2014 under the BARDA contract. So, how do we anticipate the partial settlement agreement we just reached with BARDA will impact our near-term financial results and position? As we indicated in our press release today, BARDA has agreed to reimburse us $4.7 million to cover all the cost associated with the completion of the Phase 2 IGLOO clinical trial with LANI that occurred after the May 7, 2014 termination date of our contract. We anticipate that we will recognize a vast majority if not all of the revenue from this partial settlement agreement in the quarter ended December 31, 2014. Further of this $4.7 million settlement amount, approximately $3.4 million is included in the $4.9 million of revenue accounts receivable we have not recognized as of September 30, 2014. In other words, based on this agreement with BARDA, $3.4 million of the $4.9 million in revenue and accounts receivable was not recognized as of September 30 will be recognized under GAAP during the quarter ended December 31, 2014. So, if we were to pro forma our September 30 balance sheet to reflect the potential impact of this agreement, our contract accounts receivable balance from BARDA would be $3.4 million higher or a total of $19.7 million when our accounts payable will remain as is. I realize the accounting for this is a bit confusing, but we want to try to be as transparent as possible as the likely impact of this agreement on our future financial results and position without getting too mired in the accounting details. Finally, I want to emphasize that this partial settlement agreement with BARDA relates only to the post-termination Phase 2 IGLOO trial cost and does not include any agreement or settlement regarding other ongoing discussions and negotiations we are having with BARDA with respect to finalizing other invoicing costs for activities undertaken prior to the termination dates as well as those activities that occurred after the termination date other than in association with the Phase 2 IGLOO trial. It also does not include any settlement regarding determining the nature and extent of any other equitable adjustments or final termination settlement. While making good progress in getting these other items resolved, we cannot yet determine if, when and to extent we will finalize these discussions and reach the final settlement agreement or other partial settlement agreements with BARDA. I’d be happy to answer any questions you have regarding our financial results or the status of our discussions with BARDA during the Q&A session. That concludes our prepared remarks this morning. We now open up the call for any questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Bret Holley from Guggenheim Securities. Your line is now open.
Bret Holley-Guggenheim Securities: Yes, thanks for taking my questions. You guys I am just wondering on the planned Phase 2 trial for vapendavir, what is the historical kind of I guess outcome with ACQ6 in regards to placebo effect? I mean, how do you control for that in the planned trial?
Joseph Patti: Well, the goal or what’s clinically relevant for these types of studies is the change of 0.5 in the score of ACQ6. I am not quite sure how you – can you give me a little bit more specifics on what you mean about how you control for the placebo effect?
Bret Holley-Guggenheim Securities: Well, I am just wondering what kind of placebo effect is seen on the endpoint I guess kind of a corollary question is how are you going to manage getting confirmed rhinovirus infections in the trial?
Joseph Patti: Okay, I got you. So, everybody – so we will be doing multiple sampling techniques on the patients, so the patients will have to one, be categorized as moderate-to-severe based on the level of inhaled corticosteroids they are taking, then they will have symptoms, sign and symptoms of a rhinovirus infection. We then will take – we take samples from them, which we will do PCR as well as other respiratory viral panels. And so while they will be enrolled in the study, they meet the inclusion criteria. The efficacy analysis will only be on those individuals that come back basically positive for rhinovirus.
Bret Holley-Guggenheim Securities: Okay. And then I guess based on the experience with laninamivir, how do you – I guess, how do you model how many confirmed infections you are going to get? I mean, what’s the risk that this is going to drag out the timeline of the trial?
Joseph Patti: Right. So, the timeline and the 375 patients, is taking into account a somewhat I would say moderately conservative approach of 40% of the randomized patients will actually have confirmed HRV infection.
Bret Holley-Guggenheim Securities: Okay. And then what’s…
Joseph Patti: So, the actual number – yes, the actual number obviously is a lot less that we need for the powering of the study, but we are allowing or we are assuming a 40%. We hope that we can do better than that, some previous HRV studies, large Phase 3s were able to get close to 60%, but again to be conservative we are modeling 40%.
Bret Holley-Guggenheim Securities: Okay. And then that puts you on the timeline assuming with all those assumptions that puts you on what kind of timeline for data?
Joseph Patti: Right. So, we are allowing approximately 12 months to enroll, which then would give us data mid-year 2016.
Bret Holley-Guggenheim Securities: Okay, great. Thank you very much.
Joseph Patti: Sure.
Operator: Thank you. [Operator Instructions] Alright. And at this time, I am not showing any further questions. I would now like to turn the call back over to Dr. Patti for any closing remarks.
Joseph Patti - President and Chief Executive Officer: Thank you. To summarize the key elements of today’s call, first planning activities related to the initiation of vapendavir Phase 2b trial are well underway and we believe we are on schedule to begin the trial next quarter. Two, we anticipate submitting the final LANI clinical study reports to the FDA next quarter. And finally, we are pleased with the recent partial settlement agreement with BARDA and we continue to discuss with BARDA the timing nature and extent of the reimbursement for our other invoices and elements key to the termination settlement. Thank you for joining us this morning. We look forward to updating you on future calls.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.